Edwin Ng: We will start our session now. Good morning, everyone. Thank you for joining our fourth quarter FY 2025 analyst briefing. A very warm welcome to our Yang Berbahagia Datuk Ir. Megat Jalaluddin Bin Megat Hassan, President and Chief Executive Officer of Tenaga Nasional Berhad; our Chief Financial Officer, Mr. Badrulhisyam bin Fauzi. I also extend a very warm welcome to each and every one of you joining us here today in this call. We also have 27 attendees joining us virtually via Webex. Today's session will be covered in 2 parts. Firstly, our CEO, Datuk Megat, will provide an overview of TNB's group strategy and outlook, followed by secondly, our CFO, Mr. Badrul, will present TNB's fourth quarter FY 2025 performance. We will then open for Q&A before we end it at 12:00 p.m. With that, I'm pleased to invite Datuk Ir. Megat Jalaluddin Megat Hassan to kick off our session for today. Thank you.
Megat Bin Megat Hassan: Thank you, Edwin. [Foreign Language] and a very good morning to everyone. Once again, thank you for joining us today in this analyst briefing for the financial results 2025 for Tenaga Nasional. For mostly my analysts, I would like to say [Foreign Language] and hopefully, this Ramadan will be better compared to the previous Ramadan. So coming back to the performance of Tenaga Nasional, I'm pleased to share some of the key highlights for the financial year 2025. Despite a year of both challenges and opportunities, TNB delivered resilient performance in 2025, recording a core profit adjusted for forex translation and MFRS 16 of equivalent to MYR 4.8 billion compared to around MYR 4.2 billion in financial year 2024, reflecting the underlying strength of our core business and the effectiveness of our ongoing initiative to drive efficiency and sustainable growth. This positive business growth has allowed us to continue to reward our shareholders at the higher end of our dividend policy, dividend payout of 65.6% equivalent to a total dividend of MYR 0.53 per share for the year 2025. The stronger financial 2025 performance was driven by improved performance across all our 4 business pillars. The first pillar is under generation as part of our strategy to deliver clean generation. Genco performance improved to the expectations based on the turnaround program that we conducted over the last 2 years with higher core PAT of MYR 315 million. This was supported by stronger operational efficiency as reflected by an improved equivalent availability factor of 87.8%, competitively close to the max that we want to target. Second, under develop energy network, we deployed MYR 12 billion in regulated CapEx comprises of MYR 10.3 billion in base CapEx, and we have started to use the portion of the contingency CapEx of MYR 1.7 billion. This intensified investment have strengthened grid resilience, supporting the demand growth for the country and facilitated renewable energy integration under RP4. Third, under dynamic energy solution, looking at the customer space for the year 2025, there are now 5,719 EV charge points in the ecosystem, contributing to MYR 7.1 million in revenue. During the year, at the same time, Tenaga Nasional through Electron brands installed 119 new TNB charge points, bringing the total cumulative for TNB Electron of 256 TNB charge points in our EV network. This is to reinforce our commitment and our belief to support the country growing EV infrastructure. This is also being seen by the increase of the registration of the EV cars in the market, and it is driven primarily by Proton. As for data centers, we have 35 projects in the system with a total maximum demand of 4.5 gigawatts, the agreed ESA of 4.5 gigawatts, contributing to 148% growth year-on-year. In addition, we recorded the highest customer satisfaction index in TNB history with a score of 90% or 9 out of 10. This was largely driven by the improved residential sentiment following the new tariff structure that is being introduced by the government and also the operational efficiency with fewer repetitive complaints and outage-related calls. So this is one area that we are happy most because on top of the business performance, we are also getting the good feedback from our customers with respect to our services. Lastly, under driving regulatory evolution, the IBR framework remained upheld, providing earnings stability and regulatory clarity. Importantly, we have secured revenue recognition for contingent CapEx similar as base CapEx, allowing us to recognize revenue in the same year the expenditure is incurred effective from 2025. So this is part of the agreement that we have with the Energy Commission and how the recognition of the contingent CapEx should be done. So this reduced regulatory lags and enhance our earnings visibility. The strengthened AFA mechanism, which was introduced recently, enable more immediate cost recovery from 6 months to 1 month, improving the cash flow of Tenaga and the working capital efficiency. Throughout the period, we also see that the -- most of the AFA mechanism is actually on the negative, which is a reflection of the tariff structure that we currently have. Further, this enhancement reinforce the resilience of our regulated business and support sustainable shareholder return. Following our resilient financial performance, strong governance and ESG discipline remain fundamental enablers of sustainable value creation. In other words, apart from business performance, we look at how Tenaga Nasional as a company address our sustainability agenda. In financial year 2025, TNB was recognized at the National Corporate Governance and Sustainability Award 2025, where we received the Overall Excellence Award, placing us, TNB, among the top 10 companies as well as the Industry Excellence Award in the utilities category. This recognition reflects the strength of our governance framework and our continued commitment to transparency, accountability and responsible leadership. From a broader reputational perspective, our corporate reputation index improved to 88% compared to 80% previously, indicating strengthening of stakeholder confidence to Tenaga Nasional. As disclosed in last quarter, Brand Finance ranked TNB as second strongest utility brand globally with a AAA brand strength rating, underscoring the resilience of our brand and the credibility of our long-term strategy, especially in this energy transition environment. In addition, we were honored at The Edge Billion Ringgit Club Awards 2025, receiving recognition for delivering the highest return to shareholders over the 3-year period in the super cap category. This reinforced our disciplined capital management and our focus on sustainable shareholder value. Beyond this recognition, we have also recorded notable improvement in our ESG performance. We improved our FTSE4Good score from 3 star to 4 star, and 4 star is actually the highest ranking in the FTSE4Good, which is recognized by Bursa Malaysia. Our FTSE Russell rating improved to 4 from 3.5 previously. Our Sustainalytics risk score improved to 26.3 transitioning from high risk to medium risk. And we also maintained our MSCI rating of A and our CDP rating of C. This improvement reflects the consistency of our governance practices, disciplined execution of our energy transition and a strengthened risk management framework. Moving on to our key achievements across the 3 strategic pillars in 2025. I would like to share that under Deliver Clean generation, we made a solid progress across gas, solar and battery storage. For gas under RFP Category 2, new generation capacity, we ordered with 1,400 for the new Paka combined gas cycle -- combined cycle gas turbine power plant with a target COD by December 2028. This represents a significant milestone for Tenaga to strengthen the Malaysia medium-term security of supply and reflect the competitiveness of the generation electricity price that TNB as the leading energy company can offer to the Malaysian market. As previously announced in quarter 3 results, we also secured extension under Category 1 totaling 1,262 megawatts across 3 gas power stations, reinforcing system reliability for the country. So we are very positive with respect to the pipeline growth of generation sector, while we address the supply and demand for the country. Under battery storage, the battery energy storage system at Lahad Datu, Sabah in which Tenaga Nasional has a stake in it was successfully achieved COD in August 2025, strengthening the grid stability and supporting the renewable integration for the Sabah grid. Moving on to the land-based solar. First, the large-scale Solar 5 project, LLS Sabah, commenced construction in November 2025. And as far as the planned COD, it is very much on time. Under the Corporate Green Power Programme, CGPP, all 3 sites that are under construction are progressing well at about 95% completion and remain on track to achieve COD in this first quarter 2026. And finally, for the centralized solar park, we have signed principal terms of bilateral energy supply agreement with one of the leading data centers in the country, DayOne Data Center, a strong indicator of growing green energy demand, both from corporate customers. And this is also enabling the CRESS system for Tenaga. And lastly, under hydro, the Nenggiri hydro project reached 88% (sic) [ 68% ] completion, including the installation of 400-tonne overhead crane, the largest capacity electric overhead traveling crane. The Sungai Perak Hydro Life Extension Programme has achieved 28% overall progress with major refurbishment work completed. For the Kenyir hybrid hydro floating solar project, we have reached 70% of predevelopment completion and successfully concluded the EPCC tender evaluation. So once again, we are also seeing that as far as the [ domestic ] generation on the RE front, everything are going as planned. While we continue to strengthen our domestic portfolio, we continue to advance our international energy pipeline and expand our global footprint, particularly in the United Kingdom and Australia. I'm glad to inform that in the United Kingdom, our 102-megawatt solar greenfield development projects at Eastfield equivalent to 35-megawatt peak and Bunkers Hill equivalent to 67-megawatt peak successfully achieved COD in July 2025 and has started the generation of income for Vantage Solar in the U.K. This marks an important milestone as this asset begin contributing to the current international earning base that we already have. In Australia, momentum remain encouraging. There are 3 main projects that we are looking at. The first one is at Dinawan Energy Hub, 1.3 gigawatt development at the border of New South Wales. We were awarded approximately 1 gig access rights while 357-megawatt Dinawan Wind Farm Stage 1 successfully secured the Australian government capacity investment scheme in October 2025, providing revenue visibility and mark the start of the project over there in New South Wales. For Walter Creek solar project equivalent to 700 megawatt -- 710-megawatt development, we have executed connection process agreement with Transgrid, meaning that we are executing the process to be connected to the grid and successfully submitted capacity investment scheme bid to secure the revenue support, meaning that both technical and the commercial front are very much within the progress. Meanwhile, the third site that we are working on at the Mallee Wind Farm, 400 megawatt, we have completed ecology surveys for the alternative connection route and secured the necessary land easement for the interconnection line. This step support the alternative grid connection strategy outside the ROW East zone. Bear in mind that based on our experience, the connectivity for the RE to the grid for this Australian market, it may take some time. But once it is very much connected, then the revenue is also quite consistent and secured. So overall, our international portfolio continues to progress steadily, reinforcing our long-term growth pipeline beyond our Malaysian shore. Next, we move to investment into the grid. Under our second strategic pillar, develop energy transition network, we delivered year 1 RP4 with a disciplined and efficient regulated CapEx deployment. Total regulated CapEx utilization reached MYR 12 billion against the original budget of -- budget plan of MYR 7.8 billion, exceeding 100% of our 2025 target budget. This investment was strategically allocated across 3 priorities. So we invest MYR 5.4 billion to maintain security of supply, MYR 5.3 billion to support demand growth and MYR 1.3 billion for the category of energy transition project. Achievement for the key projects. First, we significantly outperformed our smart meter target, installing over 1 million units in 2025 alone, bringing the total installation to about 5.6 million units, now covering more than half of our customer base. As for distribution automation initiative, we expanded deployment to over 5,100 substations during the year, bringing the total to over 38,000 substations in the system. We have also fully completed 500 kV overhead line Ayer Tawar to Bentong South and Lenggeng project with a total of 854 transmission towers and around 325 kilometers transmission length, reinforcing the backbone of the 500 kV national grid system. Meanwhile, our 100-megawatt 400-megawatt hour battery energy storage system pilot project at Santong is progressing well, reaching 85% completion. The next dimension of our strategy is regional integration. Recently, we signed the Tripartite Energy Wheeling Agreement Phase 2 under the Laos, Thailand, Malaysia, Singapore power integration project or known as LTMS-PIP version 2.0. This marks another important milestone in advancing ASEAN Power Grid and strengthening cross-border energy cooperation. Under this arrangement, Malaysia plays 2 key roles. First, TNB supply RE energy up to 100 megawatts from Laos to Singapore with the single buyer determining and collecting the energy charges. Second, TNB acts as the wheeler transmitting the energy through Peninsula Malaysia to Singapore. For 2025, the total energy export under this arrangement amounted to approximately 10.5 gigawatt hour reinforcing Malaysia's evolving role as the regional energy hub. Complementing this, we have also operationalized Energy Exchange Malaysia ENEGEM with a total energy export of 500.8 gigawatts to Singapore in 2025. This represents a significant national achievement in strengthening Malaysia position as RE leader in Southeast Asia through a transparent and competitive bidding commercial mechanism. Beyond commercial values, this regional interconnection enhances flexibility, supports cross-border RE integration and strengthens long-term energy security across the region. We will continue working closely with our regional partners to deepen cooperation and expand business opportunity under the ASEAN Power Grid framework. Moving to our third strategic pillar, dynamic energy solution. Electricity demands continue to grow resiliently in 2025. Total units sold reached 133,895 gigawatt hour, reflecting a sustained demand momentum. This growth is largely underpinned by commercial sector, which account 38% of the total units sold. Commercial demand grew 10% year-on-year, led primarily by data centers, which contribute 7.1%, followed by subsector of malls, business and accommodation services at 2.4% and other retailer sectors contributing 2.5%. In terms of sales contributions, malls, business and accommodation services made up 80% of the total units sold, other subsectors contributing about 16%, while data centers account for 4% of the total sales in financial year 2025. Having said that, importantly, data center continue to anchor structural demand growth. As for 2025, we have 35 projects in the system with a total maximum demand of around 4.5 gigawatts and cumulative maximum demand in the pipeline of about 7.5 gigawatts, underscoring Malaysia's growing position as digital investment hub. From a load utilization perspective, we reached 850 megawatts in December 2025, reflecting the steady ramp-up of operational facilities for data centers. Overall, demand fundamentals remain strong, supported by structural commercial growth and electrification trend. Alongside the robust demand growth, we're also seeing positive momentum across our customer-focused energy transition initiative, mainly under the EV ecosystem. We continue to expand our charging network with 256 cumulative charge points installed, including adding 190 in the year 2025 alone. Under the Green Lane supply connection initiative for EV charge point operator, progress remains encouraging. To date, we have commissioned approximately 32 megawatts of supply connection and in 2025 alone, completed 110 projects, representing around 14 megawatts of maximum demand. This demonstrates our ability to facilitate expedited connection, particularly for high-growth sector. From a financial perspective, our EV charging ecosystem generated about, as mentioned, MYR 7.1 million in revenue, representing an approximately 88% year-on-year increase in which around MYR 2.7 million come from TNB-owned charge points, reflecting steady adoption and increasing utilization of our infrastructure. Moving to solar rooftop through GSPARX. Since inception in 2019, we have secured 3,125 projects, representing 536 megawatt peak of secured capacity. As of December 2025, we have installed 216 megawatt peak, generating approximately MYR 100 million in revenue for 2025. We continue to see strong participation from key customer segments such as government data centers and construction for the solar rooftop. On energy efficiency, myTNB app is now adapted by more than 8 million customers, representing approximately 75% of our customer base. Of this, more than 2.6 million users have subscribed to myTNB Energy Budget feature, collectively helping to save 106 gigawatt hour of energy and avoid 74,000 equivalent tons of carbon emission as of December 2025. Under the Time of Use scheme or TOU scheme that recently introduced, adoption continued to show encouraging progress. As at December 2025, approximately 102,000 customers are actively benefiting from the scheme by optimizing their electricity usage during off-peak periods. This is further supported by the streamlined application process via myTNB app, which is now available, enabling seamless participation and a greater customer accessibility. Overall, these initiatives support cost optimization for the customers while enhancing load management and overall system efficiency. We believe that TOU scheme will be a hit among our customers in time to come. With that, I will now pass to our CFO, Encik Badrul, to provide a detailed overview of our financial year 2025 financial performance. Please, Badrul.
Badrulhisyam bin Fauzi: Thank you, Datuk, and good morning, everyone. So good to see so many of you this morning, and we have now close to 60 people online as well. So I hope you're happy with the numbers that you have seen so far. All right. So let me start by saying that our performance this year, we are showing stronger financial performance. But most importantly, this is actually driven by regulated business as well as effective capital management. So if you look at across the 3 financial metrics, revenue, EBITDA and PAT, all 3 across the line are showing positive year-on-year growth. And for revenue, specifically for 2025, actually increased by 19.4% compared to previous year, mainly driven by higher electricity sales. So implementation of cost reflective RP4 approved tariff actually is supporting our revenue and demonstrating continued stability of our regulated business. But most importantly, if you look at EBITDA, EBITDA has improved, supported, of course, by the higher revenue, but EBITDA increased around 2.8% year-on-year to MYR 20.5 billion already this year. And most importantly, EBITDA margin actually strengthened a little bit to 31.6%. Obviously, this is showing improved efficiency as well as operational improvement that we are pursuing across the company. So to us, this is important because it shows that all our efforts to improve efficiency are continuing to progress. This is, of course, paired together with cost management as well as strong operational improvement as well. So this brings us to the profit line where the profit grew mainly because of stable operational performance as well as all these cost improvement initiatives that we have actually put into the company. So our core profit, adjusting for forex translation and MFRS 16 stood at MYR 4 769 billion So that is a 14.7% increase year-on-year compared to MYR 4.157 billion in the same period last year. So based on that, I think it's quite clear that if you look at our overall performance, operational performance is being supported as well by lower net finance costs as well as forex movement, which has actually provided additional uplift to our numbers. However, most importantly, core operation remained the main driver of our performance for 2025. So with that, the numbers for 2025, obviously, is on track for us to continue growing, supported by resilient operations and prudent financial management to make sure that we continue to deliver this sustainable performance, not just for '25, but for the many years going ahead for the next many years. So next one, I think you will be able to see that our group earnings is supported by 2 important factors. The first one is improved generation performance as well as, of course, our world-class network performance. So if you dive into more detail, the group earnings are contributed by solid technical performance, which is now supported by much improved plant performance and world-class network performance across, of course, our transmission and distribution system. So as far as generation is concerned, the EAF at 87.8% in 2025 is a marked improvement compared to 83% that we recorded same period last year. So again, this improvement really reflects the overall plant performance improvement because of the turnaround initiative that we have put in place and starting to bear fruit now. So this is something that is very close to our heart. Definitely, we remain committed to maintain this high availability as well as operational excellence to make sure continued financial performance across Genco. In our transmission, our system minutes for 2025 is at 0.15 minutes, which is well below even our own internal threshold of actually 1.5 minutes. This, again, underscores our continued performance to make sure that we have a highly reliable as well as stable transmission network. So on the distribution side, SAIDI for 2025 improved to 46.93 minutes, again, well below our internal threshold of 48 minutes. So this is important because the strength of our world-class network continues to safeguard the earnings of our regulated business, but most importantly, as well ensuring better services for our consumers. That's how we have been able to achieve just now customer satisfaction score of 9 out of 10. So it is now being demonstrated not just on the network side, but also being felt by our customers as well. So if we move along on the capital management side, you'll be able to see that stronger collection has actually reduced receivables on our book. And we have also demonstrated in 2025 that we have optimized capital deployment to make sure that we have a healthier cash flow position. So if you look at our trade receivables, it started the year at MYR 4.4 billion, and we ended the year actually at MYR 3.9 billion. So for those who have been tracking us for a long time, you have not seen a figure below MYR 4 billion for quite a while. So this is something that we are very proud of. And the fact that we have also improved the collection period beginning of the year at around 25, we are now ending the year with 23 days as of December. So when we drill down further into what we have actually achieved, of course, there are reasonable explanation for this. This is the outcome of what we are putting in place and collection, in particular, has been identified actually the outcomes of 3 main initiatives that we are putting in place. The first one is the fact that we have now established a dedicated task force for our high-voltage and medium-voltage customers with dedicated personalized account manager to actually make sure that they are taken care of for all their needs. But of course, most importantly, they must also pay their bills, right? So that's why as part of the overall process, they now become a lot more personalized customer. So this is our value add to our customers. Second one, over the years, we have also -- and this year intensified our push to promote our customer to move into payment channel of direct debit. So this will make sure that, obviously, on time, the payments are made. So that's helped push the collection into much better territories. And lastly, item #3 to all of us here. Datuk mentioned just now, we have 8 million customers on myTNB app. We need to check all your phones to make sure you are on it. And if you are on it, you will notice actually this year, we have introduced a new function because we have now predue notice of payment. So what we're seeing before this is all of you, we know you want to pay on time, but sometimes life get in the way, you get delayed, you forget about it. That's why you're not paying. So now we're helping you with one more step. We make you predue notice so that you know that we can nudge you to pay on time. So that actually has helped us to make sure that the collection across not just the major customers, but all our accounts become more timely. So most importantly, yes, that's on the receivable and collection side. But if you look at our capital allocation side as well, 2025, we have demonstrated very strong operating cash flow. And this is, of course, the outcome as well from our more optimized capital deployment model. So during the year Datuk Megat mentioned just now, we have deployed close to MYR 15 billion in CapEx, and this is reflecting our continued investment in regulated network expansion, renewable capacity growth as well as system resilience. So this is important because for us, the ability to scale up investment was undertaken while still maintaining a balanced and robust balance sheet position. So at the same time, you will notice that we are actively optimizing our cost of borrowing, where net cost of borrowing actually improved to 4.63% as opposed to 4.83% in 2024. So this reflects a proactive liability management, improved our credit positioning and favorable funding outcome being supported by all the banks working with us. So it is important for us to reiterate the point that, yes, capital allocation is very important to us, and we are making sure that it's balanced to support our growth of investment while preserving our financial flexibility and maintaining balance sheet strength. So if we move along to more detail of RP4 CapEx, you will notice that we continue to have -- continue to deliver robust regulated CapEx spending. And during the year, most importantly as well, we have actually finalized contingent CapEx recognition, which is a key factor that we have been working towards at the end of the year. So just to take a step back, and if you look at our total CapEx under RP4 for '25 to '27, total was supposed to be MYR 42.82 billion, out of which MYR 26.55 billion would be base CapEx and the balance of MYR 16.27 billion being contingent CapEx. Where we stand today, based on the progress of the project and what we know, we believe that we expect to utilize approximately 80% to 85% of the contingent CapEx under the current regulatory period, of course, subject to project approval as well as demand requirements. You will notice that over the last few quarters, that number was 70%. So now it has become clearer to us, we believe that will be around 80% to 85%. And some of the projects, of course, we are exploring as well to expedite or push for other projects to be included inside that. So for FY 2025, we actually achieved regulated CapEx utilization of, as mentioned by Datuk Megat just now MYR 12 billion, out of which MYR 10.3 billion are base CapEx and MYR 1.7 billion contingent CapEx. So this represents around 30% utilization of total RP4 allowed in year 1. And this is important for us because this shows that we have been able to execute this project and scale up our investment. So if you recall, in 2024, the final year of RP3, we delivered CapEx of MYR 8.8 billion. Yes, it's massive, but scaling up from MYR 8.8 billion to MYR 12 billion over 1 year. So that's something that we have demonstrated. So I think this is the part where we want to assure you that as far as the RP4 numbers are concerned, these are real and we are able to operationally execute these investments. So that's why if you look at our CapEx going ahead, we expect that for 2026, that number will be around MYR 13 billion, and that will grow to further to around MYR 15 billion by 2027. So if you do the math, MYR 12 billion in 2025, MYR 13 billion this year, MYR 15 billion next year, that will be around MYR 40 billion. That's because the guidance on the contingent CapEx that we put there, that's around 80% to 85%. But of course, we're not resting on our laurels. I have put there as well those dotted bars to show that there are potentially uplift to that number. If we are able to push for a little bit more approvals on the contingent CapEx and hopefully riding on stronger demand, then subject to regulatory approval, we believe that we should be able to optimize that number to the amount that is being approved under RP4. So I just want to conclude this the fact that, yes, we talk about base and contingent CapEx. And before this, we have not been able to recognize the revenue from contingent CapEx. But now it's very clear in our financial statement, you have seen that whatever contingent CapEx that we spent this year, that is already being recognized in our financial statement in the same year. So it's being treated the same as base CapEx as far as recognition is concerned. So this hopefully has reduced one of your key overhang regulatory concerns. But most importantly, this will enable you to have a clear visibility of our earnings going forward. So for us, regulated CapEx development, we are making sure that those are, of course, in line with the approved allowance. But most importantly, this will support the security of supply and as well as support the demand growth and energy transition initiatives. And before I pass back to Datuk Megat, we have this final slide. Hopefully, you have seen the numbers. So for us, this is a reflection of our ability to continue stable dividend payout and most importantly, reflect our commitment to rewarding our shareholders. Some of the major shareholders' reps are here. Hopefully, you're happy with that. But at the same time, we continue to maintain prudent capital management. So if you look at the philosophy behind our payment this year, you have seen, yes, I've been talking about good performance in 2025. So for us, this is a reflection that we performed better in 2025. So we continue to reward our shareholders better as well. So as far as dividend is concerned, we already paid 25% interim beginning of the year. And now we are declaring a 28th final dividend, bringing the total to MYR 0.53. And if you compare that against the last year's payment of MYR 0.51, and it's also reflecting the trend of our payment, growing the dividend from MYR 0.40 in 2021 to where it is today, MYR 0.53. So total dividend payout this year amount to MYR 3.1 billion, and we are pleased to commit that, yes, you are seeing our dividend policy here, 30% to 60%, which we, of course, will continue honoring. But I think most importantly as well, you should be rest assured that we will try our best to make sure that we sustain the current trend of dividend payment going forward, including for this year. So with that, I'll pass the mic back to Datuk Megat. Thank you, Datuk.
Megat Bin Megat Hassan: Thank you very much, CFO, Badrul. So this is Ramadan. I think I'm probably start to lose some of the voices that I have. So pardon me. So looking ahead, the medium- to long-term outlook of Tenaga. At the core of our strategy remains the energy transition journey that we have. As you can see here, our long-term aspiration is clear to achieve net zero emission by 2035, in line with the Malaysia National Energy Transition road map, which target 70% RE capacity by 2050. Realizing this ambition, we require sustained and disciplined investment. So under the regulatory period 4, we have already secured and locked in our CapEx commitment up to 2027, providing visibility and execution certainty for the near term. So this is about the phase of delivery of the regulated CapEx. However, achieving the 70% RE capacity target will require continued acceleration beyond RP4, both in the generation and the grid infrastructure. So towards this objective, I think TNB now is looking forward to what the outlook can be with respect to RP5. So more current to that is to support the current pathway. We are intensifying our efforts across all the 3 business pillars. The first, deliver clean generation. Our priority is to accelerate generation decarbonization in a responsible and structured manner. First, we will decarbonize our thermal fleet through optimization and fuel transition, including fuel coal blending and while maintaining system reliability and security of supply. Second, we will scale RE energy capacity in line with the national energy transition priorities. Renewable expansion remain a core travel towards the 70% RE target by 2050. And we believe the CRESS framework provide those opportunities for a company like Tenaga. Third, we will advance low-carbon technologies to support firm and dispatchable clean power, looking at the latest technology such as hydrogen. And fourth, we will selectively expand our RE portfolio across priority markets with disciplined capital allocation, especially looking at the international expansion, ensuring sustainable return while supporting our decarbonization goal. Moving to our second pillar, develop energy transition network. As RE penetration increases, system complexity will also rise. The grid must therefore evolve to become more flexible, digitalized and decentralized, supported by distributed energy resources or DER environment. We are centering advanced system planning, grid flexibility solution and higher energy storage deployment to safeguard the grid reliability. Regional integration will also play a growing role as we expand cross-border link under APG initiative, positioning Malaysia as the regional hub for Southeast Asia. Ultimately, the grid will evolve from a passive transmission network as we have seen in the past from a carrier into an intelligent, flexible and interconnected platform that enables Malaysia low-carbon transition. And lastly, under dynamic energy solutions, electrification will continue to drive demand growth over the next decade. BEV adoption is expected to increase significantly, boosting electricity demand while supporting national decarbonization target. At the same time, we are building an integrated ecosystem, combining the digital platform, billing solution, rooftop solar, energy storage, green energy offering, which is very much part of the customer domain. At the center of this ecosystem is the empowered customer of the future. We see customers evolving into omnisumers, customers who not only consume electricity, but also generate, store and actively manage their energy usage as part of the whole energy participation for the customer. Through digital platforms such as myTNB and smart metering in which we now want to move further with the next-generation solution for the customer, we are unlocking new growth opportunity while strengthening customer engagement. So please be mindful, there will be a lot more stories with respect to our customer journey in the future. Having outlined our medium- to long-term priorities, let me now turn to the short-term 2026 outlook and targets. In 2026, we will continue to drive disciplined execution across the 3 pillars. So 2026 is the delivery and execution year, accelerating growth while progressing towards our net zero ambition. So part of delivery under clean generation, first is the Nenggiri Hydro project is targeted to reach 93% completion by 2026 and with COD targeted in the second quarter 2024 (sic) [ second quarter 2027 ] . Under the Sungai Perak Hydro Life Extension Programme, we are targeting to sign the new PPA for the Chenderoh unit by the 1st December 2026, meaning the COD will follow suit after the signing of the PPA. The hybrid hydro floating solar at Kenyir is progressing through regulatory approval and finalization of the EPCC award. The Corporate Green Power Programme to achieve COD in first quarter 2026, while the remaining solar and wind projects are targeted to achieve financial close financial investment decision within this year. In addition, we will continue advancing the newly awarded Paka combined cycle gas turbine with financial close targeted by the second quarter of 2026. Under develop energy transition network, we are expected to utilize the base CapEx of around MYR 9.3 billion for the year 2026 with a contingent CapEx of MYR 3.7 billion, a total of about MYR 13 billion, subject to regulatory approval. Execution remains the key. In 2026, we target installation of 1 million smart meters, another 1 million smart meters, distribution automation upgrade of more than 2,000 substations and scheduled to achieve COD for our pilot energy battery storage system at Santong by April this year. We will also continue discussion and settling regional interconnection under the ASEAN Power Grid with estimated 625 megawatts of ongoing available capacity for energy trading. Under dynamic energy solutions, our 2026 focus is clear: To scale electrification, expand customer solution and capture sustainable growth opportunities. So first, under EV, we aim to deploy additional 250 charge points in 2026, further expanding the EV ecosystem. Secondly, to support the industry, we target to commission 28 megawatts of completed connections, supported by the 461 applications in pre-consultation, representing 128 megawatts of potential demand for 2026. Cumulatively, connected capacity is estimated to increase 3.3x, and it is projected to reach 60 megawatts by the year 2026. So 60 megawatts is now the expected target, and it is almost the size of a single machine as far as generation is concerned. Through GSPARX, we aim to secure additional 100-megawatt peak of capacity on a yearly basis. And under energy efficiency, we want to continue to scale digital engagement and solution via myTNB platform with the strong adoption of energy budget, and we're also targeting another 150,000 to 200,000 new customers application to TOU scheme, reinforcing our smart meter installation and providing the customer with the empowerment of their energy usage. Overall, this initiative enhance customer stickiness and position TNB to capture growth from electrification and energy transition. So looking forward for 2026 guidance, we anticipate the projected electricity demand remain in line with the GDP growth between 4% to 4.5%. So in terms of our group CapEx, we plan to invest a total of MYR 18 million (sic) [ MYR 18 billion ] this year, approximately MYR 13 billion from the regulated business and another MYR 5 billion on the nonregulated business for the projects that we have described above. Our investment remain aligned with national priorities, strengthening the grid, supporting demand growth and accelerating Malaysia's energy transition. We remain committed to delivering projects that drive growth and sustainable return. This is where our capital allocation, once again, will play a vital role with respect to TNB growth. At the same time, we maintain prudent capital management and optimize our capital structure through disciplined funding strategies, which I believe as well as the KPI for the CFO in 2026. Delivering value to our shareholders. As mentioned and reiterated many times by CFO in his presentation, we expect to sustain our current trend of dividend payment in line with our dividend policy, whereby in the past, historically, we would like to deliver at the upper hand or at the upper range of the dividend policy that we have established 10 years ago, of course, subject to the performance and financial situation of Tenaga Nasional. On sustainable growth, ultimately, our focus on ensuring business growth while supporting Malaysia and NETR aspiration and strengthening our position as a leading provider of sustainable energy solutions. We will continue to position TNB as a leading provider of sustainable and reliable energy solution, creating value for our customers, communities, shareholders and not to forget our employees.
Edwin Ng: Thank you, Datuk Megat and Mr. Badrul for your presentations just now. Let us now transition to the Q&A session. We will begin by taking questions from the floor before we allow participants from Webex to ask their questions. With that, I open the floor for questions. Please feel free to raise your hand and our staff will pass you the microphone so that you can ask your questions. Kindly introduce yourself and share your questions.
Megat Bin Megat Hassan: I hope everybody will be easy on us this morning since it is Ramadan.
Daniel Wong: Daniel from Hong Leong. I have 2 questions. Firstly is on the contingent CapEx. You mentioned just now you guys start to recognize this revenue on the contingent CapEx. Just want to know what is the mechanism for this contingent CapEx, the return? And then from where do you get this revenue from the specific commercial users or from overall public spread over? Second question is on the tax. Can you give us an update on what are we expecting on the tax? How much you can claim? And then over how many years can you use on the ITA or this?
Megat Bin Megat Hassan: Okay. I'll give a try for the first question. So maybe CFO can add. So with respect to the contingent CapEx, as mentioned, we understand that what we are now going to deliver is actually a combination of base and contingent CapEx. So what is important for us is that we have gotten some approval for the contingent CapEx. So meaning that we can start the using the contingent CapEx even in the first year of the implementation, whereas the expectation will be that in the third year of the implementation, this is where the contingent CapEx will be heavily used and progressively we want to deliver the base CapEx on a yearly basis. But definitely, the contingent CapEx is supposed to be or planned to be heavy in the third year. So the good thing is that the revenue recognition is actually being -- we can recognize it as we use it in the similar concept as the base CapEx. So with that, the meaning is that the base and the contingent CapEx, one approval is gotten, it actually can be implemented in any year at any time with a consistent revenue recognition. So what will be the return for this contingent CapEx? It is the same as the base CapEx, which is at 7.3%. Maybe CFO, do you want to add that?
Badrulhisyam bin Fauzi: Maybe if I just want to add is the fact that Daniel was asking whether it's specific revenue, it's not. Actually, base and contingent CapEx are considered the same as regulated asset base. So the return are looked at as overall. So it's just by the name of it in terms of approval of the project is either base or contingent. You will recall that when we talked about contingent CapEx in the past, we list around 90-plus projects with specific projects preapproved. But of course, there is a process where before we implement it, we need to get it approved so that we can recognize the revenue recognition. But it's the same thing. That's why we keep reiterating that base and contingent CapEx differs only on the approval process. As far as the return, it's the same 7.3% and revenue is the entire regulated asset base overall. So we don't differentiate between the 2. And Datuk, do you want to take the second question as well?
Megat Bin Megat Hassan: We will start to give some answers and CFO can elaborate further because it's all the numbers game, right? So I think with respect to the tax issue that was overhang for probably a number of years, more than 20 years, I think the position of Tenaga, first, I think we are glad that this overhang has been removed with the key decisions. So the key decisions that, yes, we received a fair and reasonable portion of the requested amount of the request for the tax, what was it, incentive. But at the same time, at this moment in time, we are not at the liberty to disclose specifically the numbers. So nevertheless, I think the investment allowance credit as we understand it, which is the reasonable portion that we have gotten will be utilized and spread over a similar period of the tax allowance assessment. So that is the concept that we printed. And if you probably look at the numbers in the financial statement, probably that will become visible.
Badrulhisyam bin Fauzi: I think that covered it all already. I think if anything, just you would notice that in third quarter, we guided that our effective tax rate would be high. At that time, it was at 29%. And we did say we are managing everything that we can, and we were guiding you that we will end up probably somewhere around 26%, 27%. But you have seen the number yesterday, effective tax rate would be around 22.8%. So that explained in itself how much we have utilized this year. And you obviously I'm sure that we are utilizing it. But as mentioned earlier, the incentive is no longer tied to future CapEx, but the CapEx that we have done in the past, but there are conditions for us before we can utilize it. So that's why we are only able to utilize whatever that is being utilized for the year that is being reported. That's probably as much as we can say.
Lee Chong: Lee Len from UOB. Sorry, Badrul, to put you on a spot. But does it mean that the adjustments for ETR will only be done in every fourth quarter? Or how should we look at this?
Badrulhisyam bin Fauzi: Yes. We don't adjust PTR, Lee Len, to begin with, obviously, it's the outcome of the bottom-up tax payable across the group. But in the 2025, we only got the approval in November last year. So that's why at that time, we said we were still finalizing the impact of the assessment. So that's why in quarter 4, tax is payable once a year only. So that's why by the end of quarter 4, we finalized the calculation for the full year. So going forward, obviously, we will be accruing and estimating the amount so that it will be spread out in the more stable numbers across the quarters. So it will not be year-end a bigger impact like this.
Lee Chong: Yes, that will be much better. Maybe just another question for me. Are there any low-hanging fruits when it comes to cost discipline? I mean EBITDA margin looks really healthy. How should we look at it for '26 year?
Megat Bin Megat Hassan: I think if you look at the Tenaga Nasional operations, many of our -- I think our procurement and supply chain chief is here as well. So I think many of our operations are related to the market prices. And we will continue because TNB is actually an infrastructure company. So we actually develop and construct infrastructure. So many of our costs are actually related to this infrastructure. So what we are seeing from the perspective for the market, there is a good stability with respect to the cost of equipment, for example, PPE across the world. And this actually helps us with respect to how do we budget for it. So at the same time, the stability provides us with the incentive in the procurement and supply chain. And internally, we have introduced what we call the value-based procurement in the sense that we try to instill a value with respect to our procurement and supply chain. I think from that perspective, I think we are -- for 2025, we are managing that quite well. That's why you can see that the costs are very much contained against our budget. And we believe we can continue to optimize this over the years. And one of the key elements that enable this value-based procurement is actually data analytics, which now being aggressively embarked in the procurement and supply chain. So we are quite positive with respect to using data on the prediction as well as getting the best price that we can.
Ahmad Maghfur Usman: Usman here from Nomura. For the contingent CapEx, does battery consider as contingent because that's managing the loads for electricity distribution? Is it considered as contingent CapEx? Or is that part of generation CapEx, which is nonregulated?
Megat Bin Megat Hassan: At the moment, the battery project that we are doing at Santong is under the base CapEx.
Ahmad Maghfur Usman: It's under base CapEx. Okay. All right.
Megat Bin Megat Hassan: Because that's why the difference between base and contingent is quite simple. If we can determine the project to be a sure project before the start of the RP4, it becomes base CapEx. Anything that requires further analysis or demand, then it becomes contingent.
Ahmad Maghfur Usman: All right. And then also on top of that, currently, you have your Lahad Datu, your Santong, and I understand those places are in far flung remote areas to manage their electricity load there. Are there any more utility scale battery projects that you're looking to do as well aside from those 2? I mean, aside from those 2 that has been done basically.
Megat Bin Megat Hassan: Yes. I think recently, if you aware or search the market, there is a tender by the Energy Commission for 4 sites.
Ahmad Maghfur Usman: Any additional on top of that 4 sites?
Megat Bin Megat Hassan: At the moment, that is the 4 sites that has been identified. And of course, we believe that will be coming in a series of tender by the Energy Commission.
Ahmad Maghfur Usman: And where are the location at for these 4 sites, if I may ask?
Megat Bin Megat Hassan: The location has been determined, but I cannot remember exactly off it. And you may ask why 4? Because based on our grid stability and reliability, we can manage the integration of RE even without battery up to a certain point. That threshold is, I think it's about 6,500 megawatts of RE integration and the system doesn't require the battery backup. Before that, yes, we require a specific number of battery backup until 13,000, so in terms of the grid planning, that is where it is going. So battery, so what my message is that battery will be introduced progressively based on the integration of the RE project that we are going to have.
Ahmad Maghfur Usman: So that's more on the solar SS6, right? Okay. The other thing that I wanted to ask is on your projects in Australia, the solar panels. With the recent VAT issue in China, the rebate and removal, is that going to impact your economics for the Australia venture?
Megat Bin Megat Hassan: I think definitely, when there is changes with respect to the policy such as VAT, it will change the dynamic. But the good thing is about the Australian market, it is a supply and demand perspective. So any changes to the supply side, it will actually commensurate the demand side. So for Tenaga, we are managing this with respect to the margin that we are going to get. And that's where the capital allocation and the hurdle rate become very important for us to venture into the project. But we believe, as in the past, the supply and demand dynamics in a competitive market is always guaranteed in the sense that the players can and will sustain their margin.
Ahmad Maghfur Usman: Two more questions. On the Paka, what's the split of ownership between the other party and yourself because that hasn't been disclosed. I was just wondering.
Megat Bin Megat Hassan: Well, I think definitely, we are on the -- very well in the majority side.
Ahmad Maghfur Usman: Okay. That gives an idea. Right.
Megat Bin Megat Hassan: Because I think in the proper time, it will be -- because we have not reached the financial close, so I probably would not want to sell it. But we are in the good majority, CFO said good and significant majority.
Ahmad Maghfur Usman: And then on data center, there was this article a few days ago, Prime Minister Anwar says that he wants to stop the new data centers. Is that the case at the moment? There's a strict freeze on new data center application?
Megat Bin Megat Hassan: Yes. If we look at the statement in greater details, so my understanding is that the focus will be the data centers with the AI capability rather than the normal data centers because we know there are basically 3 type of data centers. One is for the commercial application. That is for the trading that we normally buy from Shopee. There's nothing intelligent about it. It's just a transaction to make it good. So that's normal data center. The second one is the slightly complex application of the data center, which require a good latency as well as size. For example, TikTok. This is the second category. Yes, people use it, some for commercial, but it requires a good latency and meaning that the speed has to be -- otherwise, you are not going to see the video in a very good form. The third one is actually the high-end data center that really process data and actually look at, for example, the solution for the future. For example, how do you predict the next 1 week of cloud in Malaysia, that is the AI data centers that require the GPU rather than CPU. So I think a simpler analogy, probably the GPU-based data center are still encouraged, but the CPU data center is very much discouraged. That's how we understand it. And this is our conversation, and we are supporting this direction from the government through MIDA. So now all the data center, in fact, in the past 1 year, we have been communicating with MIDA to ensure that the country get the best of the data centers of the world.
Hazmy Hazin: Hazmy here from CLSA. I have a couple of questions, but I'll start first on how have you seen the impact of AFA mechanism for overall FY '25 under RP4?
Badrulhisyam bin Fauzi: It has been very good, in fact. That's why if you look at our receivables now, long gone are the days where you see a significant amount in terms of the ICPT. So if you look at the numbers now, it only have a substantial amount of around MYR 1.3 billion, but that's not because of AFA. That is because of the adjustment for transitioning from January to July because RP4 tariff was announced in July, but January was using still the old tariff. So AFA has been super for us. It helps our overall cash flow. And this is the part where we say, obviously, AFA is based on forecasted price. So unlike ICPT, which was lagging 6 months. So what happened is that we forecast the price for next month, and we bill it accordingly already. So by the time you finish collecting the bill, all fuel costs are already recovered. And because of the favorable prices at the moment, you have seen that it is in rebate position. So it's been good for both consumers and it's been good for us. For us, this is the part where AFA help our overall cash flow, then we can plan our cash flow better, then we can deploy the capital better as well.
Hazmy Hazin: And just on the tax questions earlier, just for my understanding and better clarity. So you mentioned this year is about 22%. And going forward, should we expect roughly around that or higher or lower, what kind of direction?
Megat Bin Megat Hassan: There are 2 sides of the equation. One is the incentive allowance that we will be utilizing. So that's one, I think, is what we would like it to be and the plan is to be consistent coming from the bucket that the allowance that is provided to us. The second part of the tax is actually how well the business is going to be moving forward. So there are 2 perspectives. The absolute amount may change because of the second part because we would like to pay higher taxes provided that we are making better businesses. I think that's the intent. So in terms of the percent, yes, I think we would like it to be in a very controlled manner as what you mentioned. Anything you want to add?
Badrulhisyam bin Fauzi: I think they're looking at a number, obviously. So I think if you are forecasting long term, I think it will be prudent to keep it at around 24% for the longer term, which is what the effective tax rates are. Yes, we have this investment allowance incentive, but there is conditions to it. And obviously, for a company of TNB size, there are other factors such as interest restriction, fair value changes and accounting adjustment that would not qualify for tax deduction. So yes, this year, slightly better. But I think long term, I think push it to 24%, and that should be what we endeavor to deliver over the next many years.
Hazmy Hazin: And on contingent CapEx, 2 side of things. So you mentioned, I think, about 80% utilization of that MYR 16 billion. Will that be spread evenly across these coming 2 years? Or will it be back ended? And also, you mentioned in terms of the difference between contingent and the base CapEx is the approval process. Can you just elaborate a bit how different it is?
Badrulhisyam bin Fauzi: Maybe if you can pull up the slides on the contingent CapEx just now because as far as the CapEx quantum are concerned, that's why we have MYR 13 billion and MYR 15 billion. You look at 2025, obviously, I split it between base and contingent. But for '26, '27, if you think about it, the MYR 10 billion of the base CapEx out of '26 is already spent in '25. So the balance is only MYR 16 billion. And just now the Dakut Megat also guided that for 2026, contingent CapEx is around MYR 3 billion. So I think what we're saying is, yes, the majority of 2027 would be from contingent CapEx. So if you look at it, we are not really looking it internally that you have to top up or the other. It's really planning the CapEx of delivering the MYR 40 billion or MYR 43 billion maximum. So where it comes from, yes, you are right, it's a matter of process. So if you remember, before this, we talked about the base CapEx being reflected in the base tariff already. And then the contingent CapEx at the point of RP4, it wasn't certain yet. So that's why it goes into contingent CapEx. But the moment it goes into the regulated asset base, it becomes the overall return. And we do not itemize -- I mean, it's not differentiated where the revenue comes from. It's the same thing. So to us, we are not so concerned about whether it's base or contingent anymore, and you shouldn't be also because the moment it goes into CapEx, let's say, 13 billion next year, whatever the composition, you will get the 7.3%, and you will get the return from that. So that's the way we look at it. So yes, there is upside there, but that is if we can deliver more than 80% of the contingent. So that's the way we should look at it. So that's why we keep saying that the recognition now is the same as base. So as far as the numbers are concerned, of course, on the operations side, they need to think about how to get the approval because the base CapEx is approved. Contingent CapEx is preapproved, but you need approval before you spend it. This is the trigger. So this is still consistent with what we told you when we got the approval the last time. It hasn't changed. So it takes a bit longer for contingent CapEx. And now that we know how the mechanism works, obviously, we will preplan ahead so that by the time we get to spend it, it's already approved. So...
Hazmy Hazin: Just last question. I think I saw there's an elevated IT spending on computer software during the quarter. Is that a one-off thing? Or will that be repeated?
Megat Bin Megat Hassan: Yes. This is something that we are trying to manage. And to a certain extent, we have a discussion with the IT providers. It is very much to the software licensing that we have been having with the current service provider that we have. So what we have done at least for one service provider is actually because in the past, the formula is always very rigid. It is the number of employees of Tenaga Nasional regardless whether you are a user or nonuser for that specific software, but it's taken to that dimension. The published number of employees is the base versus the fee. So we are having a communication with the service provider, best we actually handle this moving forward so that it will reflect actually the actual utilization and the fee that we are going to cost us. And we have gotten some positive response towards that. So we believe this is something that, yes, it is a concern, but I think we are -- we want to address it. And I believe we see there. So I believe we are going to manage it in 2026.
Edwin Ng: Okay. Now we will move on to take a question from Webex. We have Fong from CMB on the line.
Unknown Analyst: Just 2 questions from me. Firstly, I just wanted to go back to the earlier question, right, on the nonfuel costs, particularly related to the software licensing. I wanted to understand whether these are incurred on the regulated side of the business and therefore, are these costs, when we see them going up, are they recoverable through the IBR framework or not? That's the first question. And my second question is I noted that there is a recovery of insurance claim at Genco subsidiaries in the fourth quarter. Is this related to Manjung 4 or something else? And how much was the amount? And would there be further recovery in 2026? Those are my 2 questions.
Megat Bin Megat Hassan: Yes. In -- question one is still on nonfuel costs, example, software licensing. Yes, these are incurred under the regulated costs. And it is not only software licensing. The IT also include the cybersecurity measures that we are taking. So those are basically recovered through our IBR scheme. Recovery of insurance claim in Genco, is it related to M4, how much, second question. Will there be more recovery in 2027? Yes, partly, I think the recovery is actually coming from Genco. And with respect to the Genco recovery, we will continue in 2026, how best we get those recovery. We are talking also to the OEM together with the insurance, respectively. So probably that's the answer. Yes, we already started in 2024 for M4 recovery and 2025. We will continue in 2026. But most accounting refer that to as one-off item.
Edwin Ng: Okay. Due to time constraint, we will now take the last question from a participant on Webex. The participant is Rachel Tan from UBS. Can you hear us?
Rachael Tan: Can you hear me?
Edwin Ng: Yes, we can hear you.
Rachael Tan: Great. I had 4, but I guess now I have to choose one. Okay. I guess I can ask the more broader question. So for the contingent and base CapEx, I think there's a lot of interest among investors about what the nature of the CapEx is. So will you, in time, be able to share with us the nature of the projects being done? I think people would really be interested in the color that you can provide.
Megat Bin Megat Hassan: Thank you very much. As mentioned, the definition of base CapEx and contingent CapEx is the grouping with respect to the project. But it relates to the same nature, meaning that is the infrastructure that Tenaga will be building upon, meaning that it's the transmission line, the substation, the distribution network, the small substations, PES, as we call it, as well as the up to the customer interaction, for example, smart meter. So it is this nature of CapEx that Tenaga spent. And the intent or the objective of those CapEx are basically 3. First is actually demand growth, meaning that we are going to build new substations. We are going to build smaller substations at the grid at the distribution level for new growth with all the equipment in place. Second is replacement of our existing asset, meaning that the asset that has been there for, based on the lifespan, 25 years that require replacement. So this is the second objective of the CapEx. The nature is still the same. If the pencawang is more than -- the substation is more than 30 years, we will do a rehab, meaning that we will do the replacement of all the equipment, including the lines. So the second objective is actually replacement that we call it as security of supply, meaning that we ensure the objective of security of supply. So these are the 2. The third one is specific to the energy transition perspective. For example, there is a requirement for us to do the integration of RE from solar rooftop as well as solar farm or even from hydro as well as the gas power plant. That is part of the energy transition CapEx. And we also include smart meters, for example, as part of the energy transition CapEx. So the definition and objective can vary, but the nature of the CapEx are the same. It's about the infrastructure of electricity that we are going to build or replace or the new technology that we are going to introduce for the grid as well as the distribution network and also for the customer benefit. I think the details, I think the team probably can share because it's not something that is a secret so that we can have those understanding. Okay. Thank you, Rachel. I hope you have given us the most difficult question. And I believe the other 3 questions, you can still post it and the team will address it accordingly.
Edwin Ng: Ladies and gentlemen, that is all the time we have for Q&A today. I would like to thank you all for your questions. Now I'll pass to Datuk Ir. Megat Jalaluddin Bin Megat Hassan, President and CEO of TNB for his closing remarks.
Megat Bin Megat Hassan: Thank you once again, Edwin. So this is the closing remarks. Ladies and gentlemen, thank you for your questions and listening. As always, please reach out to our Investor Relations group for any questions and further questions that we were not able to cover today. To summarize today's session, recap financial year 2025 performance reflect the strength and resilience of TNB business model. Our regulated segment continue to provide earnings stability with cash flow visibility, supported by disciplined RP4 execution and improving operational performance. We delivered across all our pillars, securing new generation capacity under Category 2, strengthening grid resilience, advancing RE integration as well as a spending-driven customer solution. At the same time, we progress regional interconnection initiatives and enhance our ESG performance, reinforcing our long-term competitiveness and also funding assets. So in conclusion, we remain committed to delivering sustainable return to our shareholders. Our dividend policy thus far remain intact, and we expect to sustain on current trend of dividend payment, of course, subject to performance and financial condition in which the management will try our best to deliver the excellent performance. With your continued trust and support, we remain confident in our ability to build a stronger, greener, more resilient energy future for the nation. Rewarding our shareholders remain a top priority, and we truly value your continued confidence in us. Once again, thank you very much, ladies and gentlemen, and have a pleasant day ahead. [Foreign Language] We see each other in the future in a different platform. Thank you very much.
Edwin Ng: Thank you, Datuk Megat. Ladies and gentlemen, we have now come to the end of our session. On behalf of Tenaga Nasional Berhad, we thank you for your participation in today's briefing, be it present physically or virtually. For any questions that remain unanswered, rest assured that we will promptly address them following this event. If you require further clarification and inquiries, please feel free to contact our Investor Relations officer and e-mail us at tenaga_ird@tnb.com.my. As you leave the hall, we warmly invite all analysts who have yet received their door gift and packed food to kindly collect them before departing. To those observing the holy month of Ramadan, wishing you a blessed and peaceful Ramadan. Thank you, and have a wonderful day.